Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Silver Wheaton's Year End 2015 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would like to remind everyone that this conference is being recorded on Thursday, March 17 at 11 AM Eastern time. I will now turn the conference over to Mr. Patrick Drouin, Senior Vice President of Investor Relations. Please go ahead.
Patrick Drouin: Good morning, ladies and gentlemen, and thank you for participating in today's call. I'm joined today by Randy Smallwood, Silver Wheaton's President and Chief Executive Officer; Gary Brown, Senior Vice President and Chief Financial Officer, and Haytham Hodaly, Senior Vice President Corporate Development. I'd like to bring to your attention that some of the commentary on today's call may contain forward-looking statements. There can be no assurances that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. In addition to our financial results cautionary note regarding forward-looking statements, please refer to the section entitled Description of the Business Risk Factors in Silver Wheaton's annual information form and the risks identified under Risks and Uncertainties in Management's Discussion and Analysis for the period ended December 31, 2015, both available on SEDAR and Silver Wheaton's Form 40-F and Silver Wheaton's Form 6-K filed March 16, 2016, both on file with the US Securities and Exchange Commission. The annual information form and press release from last night set out the material assumptions and risk factors that could cause actual results to differ including, among others, fluctuations in the price of commodities, differences in the interpretation or application of tax laws and regulations from those taken by Silver Wheaton, the absence of control over mining operations from which Silver Wheaton purchases silver and gold, and risks related to such mining operations. Lastly, it should be noted that all figures referred to on today's call are in US dollars, unless otherwise noted. Now I'd like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Patrick. And good morning, ladies and gentlemen. I just want to start off, of course, by wishing everyone a happy St. Patrick's Day. I'm pleased to be here to discuss 2015, a year of record growth for Silver Wheaton. We achieved record production of 47.7 million silver equivalent ounces and record sales volumes of 41.6 million silver equivalent ounces. For production we significantly beat our forecast of 44.5 million for the years, and, of course, climbed more than 12 million silver equivalent ounces from 2014 production levels. Our growth in 2015 was driven both organically by our fully funded portfolio of assets and through the acquisition of streams from two of the worlds best copper assets, the Salobo mine in Brazil and the Antamina mine in Peru. While our record sales volumes in 2015 were partially offset by weaker commodity prices, we still generated operating cash flows of over $430 million, with a cash operating margin of over 70%. Although our assets performed very well in 2015, the year was not without its challenges. Along with lower precious metals prices, in September we received notices of reassessment from the Canada Revenue Agency, or the CRA for the years 2005 to 2010. Earlier this year we filed a notice of appeal with the tax court of Canada electing to pursue resolution of these matters through a much more timely judicial court process rather than to continue to pursue the CRA's internal appeals process. We will continue to vigorously defend our position and work towards the quickest avenue for resolution. On the operational front we have never been stronger. We are particularly happy with the strong performance of our core assets during 2015, San Dimas, Salobo and the Penasquito mines, and our new cornerstone addition, the Antamina mine. To start, Primero had another record year at San Dimas with record production in the fourth quarter. Primero completed an expansion to 2,500 tonnes per day in the first quarter of 2015 and ran well over that number for most of the year. A further expansion to 3,000 tonnes per day is scheduled for later in 2016. San Dimas is Silver Wheaton's first ever asset from over 12 years ago and it has proven itself to be a great foundation cornerstone for our company. The Salobo mine has been another great asset for Silver Wheaton. As a reminder, Salobo is the largest copper deposit ever found in Brazil, and we acquired our initial stream of 25% of the by-product gold production from this mine in early 2013. Last year we also doubled our exposure to Salobo by acquiring an additional 25% of the by-product gold production. This coincided nicely with the successful ramp up during 2015 of the mine's expansion, which doubled its throughput. The mine was a key driver of our record production during 2015, and with its significant expansion and exploration potential we expect it to be a lead contributor for many years ahead. In 2015 the Penasquito mine had record production as higher grades were encountered in the middle of the year. Goldcorp continues to construct the Northern Northern Well Field which should resolve process water shortage issues. And we are excited about the potential of the Pyrite Leach Plant, which Goldcorp is currently evaluating and expects to make a decision on later this year. Goldcorp has indicated that this initiative if implemented would significantly increase both gold and silver recoveries at Penasquito. In November of 2015, we acquired from Glencore a silver stream tied to the Antamina mine in Peru. Antamina is not only the eighth largest copper mine in the world, but more importantly, it is also one of the lowest cost copper mines in the world. Because of its quality and scale, Antamina is now Silver Wheaton's fourth cornerstone asset. This stream provides us with almost immediate production and operating cash flow, as evidenced in our fourth quarter results. We look forward to a full year of production and sales in 2016 and for many, many years to come. While our record year was driven in great part by these cornerstone assets, we also benefits from the first contributions of gold and silver from Hudbay's Constancia mine in Peru. Constancia achieved commercial production in April of 2015, and Hudbay has done an excellent job in bringing this mine online and ramping up production. We've been very pleased by Hudbay's mine building capacity here, especially considering that they are also our partner on the Rosemont project in Arizona. That provides an update on our cornerstone assets. I'd also like to provide a bit of an update on Silver Wheaton's corporate social responsibility programs. Specifically, since 2014, we have provided financial support to our partner’s social projects in mining communities near our partner’s mines. Our first project supported Primero to build community facilities near San Dimas and Barrick to implement irrigation systems for the agricultural communities near Veladero and Pascua-Lama. We are currently helping Barrick to expand this successful irrigation project, Goldcorp, to improve education facilities near Penasquito, and Vale, to increase medical services and facilities near the Salobo mine. We believe these projects will have positive long-term and sustainable benefits to these mining communities, to our partners, and to the mining industry as a whole. It is the right thing to do. On the corporate development front, we are happy to see that streaming is now a major consideration for all miners assessing financial options or financing options. We continue to see a number of high quality accretive opportunities. With by far the strongest free cash flows in the entire streaming space at well over $100 million per quarter, and over $500 million of capacity on our $2 billion revolver, we have plenty of fire power for continued investments. As always, we only look to acquire streams that are accretive to our current shareholders and come from high quality assets producing in the lowest half of their respective cost curves. Looking forward, we estimate silver equivalent production of 54 million silver equivalent ounces in 2016 for Silver Wheaton. And over the next 5 years most of the growth from our fully funded portfolio of assets is front end loaded, as higher grade zones are mined at both Constancia and Penasquito, and as full year contributions from Antamina and a fully-ramped Salobo are realized. It is also worth noting the optionality contained within our portfolio that is not included in our current guidance, top tier assets such as Pascua-Lama, Rosemont, Navidad, Toroparu, Cotabambas, combined to add another 19 million silver equivalent ounces of annual production optionality to Silver Wheaton once they are developed. In summary, 2015 was a year of strong growth for Silver Wheaton. We now have 30 assets in our portfolio and our streaming model has been adopted across the industry. Silver Wheaton's shareholders now have almost 4 million silver equivalent – sorry, 4 silver equivalent ounces of reserves backing every share in the company, much stronger than the 0.5 ounce per share back at the end of 2004 when we started this company. It is almost a 10 fold increase in just 12 years on a per share basis. We are also quite proud of our dividend policy which links our payout directly to operating cash flows, giving shareholders direct exposure to both precious metal prices and our production growth profile. As mentioned, we forecast production of 54 million silver equivalent ounces in 2016, and all of this growth is fully funded with no further capital requirements. We are in a very strong position to continue delivering to our shareholders. With that, I would like to turn the call over to Gary Brown, our Senior Vice President and Chief Financial Officer, to provide a bit more detail. Gary?
Gary Brown: Thank you, Randy. And good morning, ladies and gentlemen. Prior to reviewing Silver Wheaton's unaudited financial results for the three months ended December 31, 2015, and the audited results for the year ended December 31, 2015, I would like to remind everyone that all monetary figures discussed are denominated in US dollars, unless otherwise noted. The company's precious metal interest generated record attributable silver equivalent production of 15.5 million ounces in the fourth quarter of 2015, 70% higher than production from the comparable period of the prior year, due primarily to the doubling of the company's interest in gold produced from the Salobo mine to 50%, combined with the production from the company's interest in the Antamina mine, which closed during the fourth quarter of 2015. Approximately 67% of this production related to silver, with the remainder relating to gold. This record-setting production level drove a 59% increase in silver equivalent sales volumes relative to the comparable quarter of the prior year, resulting in record sales of 13.6 million ounces in Q4 of 2015. Payable silver equivalent ounces produced but not yet delivered by our partner’s amounted to approximately 6.9 million ounces as at December 31, 2015, representing an increase of about 500,000 ounces during the quarter. Revenue for the fourth quarter of 2015 amounted to $200 million, representing a 43% increase from the comparable period of the prior year, with the increased sales volumes being partially offset by a 10% decrease in the average realized silver equivalent selling price, which was $14.73 per ounce for Q4, 2015. The gross margin for the fourth quarter of 2015 amounted to $71 million, representing a 17% increase relative to the fourth quarter of 2014, with operating margins as a percentage of sales decreasing by 7% to 36% in the fourth quarter of 2015. The decrease in margin as a percentage of sales is primarily attributable to lower commodity prices. Cash based G&A expenses were $8 million in the fourth quarter of 2015, representing an increase of less than $1 million from Q4, 2014, with such increase being primarily attributable to an increase in accrued costs relative to employee compensation. Interest costs for the fourth quarter of 2015 amounted to $3.9 million, resulting in an effective interest rate on outstanding debt of only 1.75%, of which $2.6 million was capitalized to the Pascua-Lama mineral interest, with the remainder being expensed in the calculation of net income. As a result of the temporary closure plan associated with Pascua-Lama, interest will no longer be capitalized to this asset. During the fourth quarter of 2015 the company recognized impairment charges totaling $231 million relating to its interest in Pascua-Lama, 777, Sudbury and Keno Hill. The impairment charges relating to Pascua-Lama and Keno Hill related primarily to the uncertainty as to when operations would commence, while the impairment relating to Sudbury was driven primarily by the sustained decrease in precious metal prices. The impairment relating to 777 was driven by a decrease in expected future deliveries as a result of a revised mine plan received in the fourth quarter of 2015. Net earnings adjusted to neutralize the effect of the impairment charges amounted to $57 million in the fourth quarter of 2015, compared to $52 million in the comparable period of the prior year, with adjusted basic earnings per share of $0.14 being achieved in both periods despite a 10% decrease in commodity prices and an 11% increase in the number of shares outstanding. Operating cash flow for the fourth quarter of 2015 amounted to $133 million or $0.33 per share, compared to $94 million or $0.26 per share in the fourth quarter of the prior year. This represents a 27% increase on a per share basis despite the decrease in commodity price and the increase in number of shares outstanding, highlighting the accretiveness of the acquisitions completed during 2015. Based on the company's dividend policy, the company's board has declared a dividend of $0.05 per share payable to shareholders of record on March 31, 2016. Under the dividend reinvestment plan the company has implemented - the board has elected to offer shareholders the option of having their dividends reinvested in newly issued common shares of the company at a 3% discount to market. For the year ending December 31, 2015, the company achieved record silver equivalent production of 48 million ounces, representing a 35% increase from the prior year. This record production contributed to record sales volumes of 42 million silver equivalent ounces, an increase of 26% relative to 2014. Revenue for 2015 amounted to $649 million, representing a 5% increase relative to the prior year, with the increase in sales volumes being partially offset by a 17% decrease in the average realized selling price per silver equivalent ounce sold. Gross margin amounted to $260 million for the year, a decrease of 16% relative to 2014, with operating margins as a percentage of sales decreasing to 40% in 2015 from 50% in 2014, due primarily to lower commodity prices. Cash based G&A expenses in 2015 totaled $26 million compared to $30 million in 2014, consistent with the most recent company guidance, with the year-over-year decrease being attributable to lower PSU expenses and a weaker Canadian dollar. For 2016, the company estimates that non-stock based G&A expenses, which exclude expenses relating to the value of stock options granted and PSUs, will amount to $30 million to $33 million, with the increase from 2015 being largely attributable to increased legal and consulting costs resulting from our ongoing dispute with the CRA. After adjusting to neutralize for the effect of impairment charges, which totaled $385 million for the entire year, net earnings for 2015 amounted to $210 million, representing a 22% decrease from 2014, due primarily to the decline in commodity prices with basic adjusted earnings per share amounting to $0.53 in 2015, compared to $0.75 in 2014. Cash flow from operations amounted to $431 million in 2015, consistent with 2014, despite the 17% decrease in realized commodity sales prices. This translated into operating cash flow per share of $1.09 compared to $1.20 in 2014. The operational highlights for the fourth quarter of 2015 included the following, attributable production and sales relative to the San Dimas mine amounted to 2.3 million and 2.1 million ounces of silver, respectively, during the fourth quarter of 2015, with a 33% increase in production as compared to the comparable period of 2014 being attributable to Primero's mining higher grade material. Additionally, Primero has indicated that their previously announced plan to further expand throughput capacity at San Dimas of 3,000 tons per day is now expected to be completed in the third quarter of 2016. During the fourth quarter of 2015, Penasquito generated attributable silver production of 1.8 million ounces, representing an increase of 12% relative to the comparable period of the prior year, as a result of higher grade material being mined during the quarter. Silver sales for the fourth quarter of 2015 relative to Penasquito amounted to 2.1 million ounces compared to 1.6 million ounces in Q4, 2014, with payable silver ounces produced but not yet delivered to Silver Wheaton decreasing by approximately 500,000 ounces in the quarter to approximately 200,000 ounces as at December 31, 2015. With respect to the water availability at Penasquito, Goldcorp has stated that construction of the Northern Well Field resumed during the fourth quarter of 2015, with completion now expected to be in late 2016. Attributable gold production relating to the Sudbury gold interest amounted to 12,000 ounces during the fourth quarter of 2015 or over 900,000 ounces on a silver equivalent basis, representing a 23% increase due to higher mill recoveries and higher production from the Coleman and Totten mines. Gold sales relative to Sudbury amounted to 6,300 ounces in the fourth quarter of 2015, representing a 44% decrease relative to the comparable quarter the prior year, with this decrease being due to a 5,000 ounce increase in payable gold ounces produced, but not yet delivered to Silver Wheaton. As at December 31, 2015, approximately 14,000 ounces of payable gold or 1.1 million silver equivalent ounces had been produced at Sudbury but not yet delivered to Silver Wheaton. The Salobo gold interest produced a record 37,700 ounces of attributable gold or 2.8 million silver equivalent ounces, during Q4 2015, with such increase being attributable to the ramping up of the second line and the doubling of Silver Wheaton's attributable percentage of gold from 25% to 50% effective January 1, 2015. The two lines operated at an average rate of approximately 89% of capacity during the fourth quarter of 2015. Gold sales relating to Salobo amounted to over 44,000 ounces or 3.3 million silver equivalent ounces in Q4 of 2015, more than 3 times the sales volume for the comparable quarter of the prior year, with the record production being coupled with a decrease in payable gold produced but not yet delivered to Silver Wheaton of over 8,000 ounces during Q4 of 2015. As at December 31, 2015, approximately 16,000 ounces of payable gold or 1.2 million silver equivalent ounces had been produced relative to Salobo but not yet delivered to Silver Wheaton. Attributable production and sales relative to the recently acquired Antamina silver interest was 2.4 million silver ounces and 1.3 million silver ounces respectively, with Silver Wheaton having the rights to any silver which was delivered to an offtaker after September 30, 2015. As at December 31, 2015, approximately 1.1 million ounces of payable silver attributable to Silver Wheaton had been produced relative to Antamina, but not yet delivered to the company. Other gold interests generated over 19,000 ounces of attributable gold production in the fourth quarter of 2015 or 1.4 million silver equivalent ounces, representing a 39% increase relative to 2014, due primarily to the ramping up of Constancia and the mining of higher grade material at Minto. Gold sales from other gold interests increased 14% to 14,000 ounces or 1 million silver equivalent ounces for the fourth quarter of 2015, with gold produced but not delivered increasing by approximately 3,000 ounces during the quarter. During the fourth quarter of 2015, the company generated $133 million of cash flow from operations, disbursed $18 million in dividends, repurchased common shares in the amount of $8 million and invested $900 million in the recently acquired Antamina stream, with this payment being partially funded by a drawdown under the company's revolving facility. As at December 31, 2015, the company had $104 million of cash and cash equivalents on hand and $1.47 billion of debt outstanding under its revolving facility, resulting in a net debt position of $1.36 billion. Subsequent to year end, the company was notified that its lenders had agreed to extend the term of the revolving facility by an additional year with the facility now maturing on February 27, 2021. The company's cash position, strong forecast future operating cash flows, combined with available credit capacity under its revolving facility positions the company well to satisfy its funding commitments, sustain its dividend policy, while at the same time providing flexibility to consummate additional accretive precious metal purchase agreements. With respect to the CRA reassessments of 2005 to 2010 taxation years, the company has filed a notice of appeal with the tax court of Canada, electing to pursue resolution through a judicial court process. In addition, in lieu of making a cash deposit of 50% of the reassessed amounts, the company has posted security in the form of a letter of guarantee in the amount of C$192 [ph] million, representing 50% of the amount that the CRA has claimed are owing plus an estimate of interest to March of 2017. That concludes the financial summary. And with that I turn the call back over to Randy.
Randy Smallwood: Thank you, Gary. Operator, we'd like to open up this call for questions, please.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Andrew Quail from Goldman Sachs. Your line is open.
Andrew Quail: Good morning, Randy, Gary, Patrick. Thanks very much for the update, boys. A few questions, just wanted to make sure or confirm about the silver equivalent ratio. Obviously, is that 80 for your guidance that you provide over the next five years?
Randy Smallwood: Yes, Andy.
Andrew Quail: I thought so, just wanted to make sure. Secondly, is there an update on the buyback, and, Randy, might be look, you know, obviously the one that's been announced, but how would you see that going forward? Is that something that you - obviously you did that last year when prices were actually lower. What do you sort of see going forward, given the rebound in commodity prices and your share price?
Randy Smallwood: Well, we always have to balance that. I mean, there's several ways we deliver growth to our shareholders, right. And so we have to balance that versus making new acquisitions, in terms of where do we push our cash flow, right. And so, I would say that, right now, with the opportunity set, we're probably going to back off a bit. We've had a bit of a rebound in commodity prices. Our share price is definitely up over the course of this year. But we have been active, earlier this year we were active on the buyback. But what I'd see the opportunity set going forward, that's what we have to do. Every time we look at making an acquisition, we compare it to that versus just buying back our own stock. And I have to say right now, some of the acquisition opportunities out there look pretty attractive.
Andrew Quail: Yes. My next question's a bit more on strategy going forward. When I look at this, I think the precious metal guys have sort of obviously been quite proactive in lowering their debt or terming out their debt and lowering their leverage. And I think, even if prices went lower, they're in pretty good shape, especially the majors. Maybe on the bulks and especially the base metal guys, I think it's a different story. Can you give us an update on what spread across the deals that you're looking at would be in base metals versus hanging on to precious metals?
Randy Smallwood: Well, and if you look at the transactions we've done over the last few years, they've all been on the base metal side or with base metal partners, focused partners, right. The rebound that we've seen recently here, this slight rebound is in precious metal prices; a little bit of strength in copper. But overall, the base metal sector is still in a pretty tough situation. And so, there's a very heavy bias towards that side, which works for us. I mean, we focus on the by-product side. We think that, you know, although we would go into core product streaming agreement, we think the whole business model works much better on the byproduct side. And so that, of course, opens up opportunities for us.
Andrew Quail: Okay. And then last one. You guys have mentioned the CRA in detail and you've given us what you can say. But is there any – sort of look, when do you think we'll get the next update, if we're looking at timelines, what would be a gut feeling when we might see some movement from the CRA?
Gary Brown: Andrew, that's very difficult to gauge. I would expect the timeline from here really, we're in the middle of initial court pleadings, expect that to be wrapped up sort of mid-May. Then we move into discovery, hope to have discovery wrapped up by the end of this year, at which time there would be a court date set. I would expect that there probably won't be much to update prior to that point.
Andrew Quail: So, court date in 2017; I think that's what you said last time, so its mid-2017-ish…
Gary Brown: That's right.
Andrew Quail: Okay. Thanks very much, guys.
Randy Smallwood: Thank you, Andrew.
Operator: Your next question comes from the line of Dan Rollins with RBC Capital Markets. Your line is open.
Dan Rollins: Yes. Thanks very much. And great quarter. Great way to close off 2015.
Randy Smallwood: Thanks, Dan.
Dan Rollins: Randy, I was wondering if you could just touch base on just what you're seeing in the pipeline. Obviously a couple of very high quality deals done last year in the whole space, large purchase price transactions. But are you seeing the $1 billion deals out there or are we now talking more to the $300 million to $500 million range? And if so, are you still seeing Tier 1 quality assets or are they more the Q2 cost quartile coming out right now?
Randy Smallwood: Well, we're seeing assets all the way across the entire cost spectrum, and in fact, the ones that are higher cost, they're probably the ones that are hungrier in terms of looking for financing. But that's not our focus area. We're not interested in that, we'll leave that for the other streaming companies. We focus - when I sit and look at it, there's not a lot of the big transactions out there, the $1 billion opportunities. Most of the stuff seems to be down in the $300 million to $500 million range. There's a couple that are over. So I would probably say the average of the - the sweet spot is probably in around that $500 million range currently. And again, with continued weak prices in the base metals space, we just see some assets that some of the companies that have been able to withstand this initial drop for a longer period of time, but with sustained lower prices, they are now starting to explore that. And so we're seeing some new entrants into the space, even in the last couple of months, that we haven't seen in - that weren't right all that active about a year ago. And so there is a healthy number of opportunities. Our focus is always the bottom half of the cost curve and we specifically try and put extra focus on the bottom quartile, right, the first quartile assets, and there's definitely assets in there. I have to say, I mean, Salobo, incredibly strong asset, excellent margins. As its - when you sit and look at the results out of that and considering it's in start-up phase, it hasn't even gone through that normal optimization process that all mines go through when they get up and start running at a comfortable pace. We just continue to see better and better out of Salobo. Antamina, of course, I don't think anything needs to be said about that one. It's already got an excellent track record. And so assets like that, they are few and far between. We have to stretch for those when they're available and they'll be long-term foundation assets for our company. But there's other assets that aren't too much different than those out there, and that's the ones we're focusing on.
Dan Rollins: Just given, recently we've seen a number of financial players looking to get into the royalty streaming space. Just given your company's technical expertise and your focus on high quality assets. Have you been approached or would you be willing to work with a non-industry player on the financial side to help maybe fund a number of transactions if they were to come to the market or do you guys think you should be able to stick on your own and fund everything internally?
Randy Smallwood: My preference, of course, is to keep it all within the Silver Wheaton Empire. If we're willing to put in some money, then we would rather put in all the money. That being said, we have to recognize there is some capital limitations on our own side, too. And so, you know, we're always open to that concept. I think the challenge is getting alignment amongst partnerships. It is an extra layer of effort and work. And then I would also say the other challenge comes from the vendors, from the people that are selling these things. They recognize that the more people at the auction, the better the price is going to be. And so they're hesitant to allow partnerships, so to speak. And so, we're always willing to explore that. We haven't had a lot of success in that space yet and to be honest, we haven't seen much of a need yet. We've been able to fund every asset that we've been really interested in winning. So to date, never rule it out, but our focus is to try and if we're willing to make any investment into the asset, we'd like to take the whole thing and credit it to our shareholders.
Dan Rollins: And then just maybe if we're looking long-term, you have the advanced deposit agreement, you've pulled the trigger a couple times on that. How do you guys play off the near term opportunities versus sort of the potential to get really significant accretive deals on early stage projects that maybe not built in this cycle, but the next cycle? How do you guys contemplate that investment decision right now?
Randy Smallwood: Well, I think you need a diversified portfolio. I think you need a combination of these things. The industry is very cyclical and there are periods, long periods, where it doesn't make sense to make acquisitions. And that's the time that you bear fruit from these longer-term investments, these early-stage assets. If you go back in our own time, there was probably a 2.5 year period there that we didn't do any transactions. And I can't tell you the number of people that asked if our business model was broken. That was the peak of the cycle. That's when we shouldn't be buying assets. But that's when some of these longer term investments, these early-stage projects, they start bearing their fruit. And so, you need a full diversified, you need access to operating assets, you need access to assets that are in construction, you need assets that are ahead of construction, these early stage deposit structures. And we're excited about that space. And I have to tell you, on the development side, its representative of what the - how tough the mining industry is right now. There is just not a lot of construction assets right now, when you sit and go down there is not a lot of assets being built. And so, these are the times that we invest for those bull period cycles where we're not going to be making acquisitions, but those early stage development assets. That's when they bear their fruit.
Dan Rollins: Perfect. Thanks very much. And all the best in 2016, guys.
Randy Smallwood: Thank you, Dan.
Gary Brown: Thanks, Dan.
Operator: [Operator Instructions] Your next question comes from the line of Josh Wolfson from Dundee Capital Markets. Your line is open.
Josh Wolfson: Hey, good morning, guys. A couple of more I guess, specific questions on the assets, first, I'll start off with Penasquito. When I look back to prior guidance, I think in 2014 you guys had highlighted expected grades would be peaking out or starting to at least see the higher grades in about two or three years, which is I guess now. Is that still the current expectation with Goldcorp's new outlook for the mine or have you pushed out I guess, your expectations for higher grades there?
Randy Smallwood: Well, we hit some peak grades over the course of the year there of 2015, sort of, I think hit the high point during the middle of 2015, and there has been some rescheduling there. As they've gone through and optimized to reflect current commodity prices. There has been some rescheduling within that open pit, as you would expect, any responsible operator would want to go through that whole process. And so, there has been some rescheduling adjustments. Goldcorp is putting a lot of effort into this Pyrite Leach project, which looks very promising. The initial results come out of it say, that it's the slam dunk; it's got an excellent rate of return. And so, we're pretty bullish that that's going to come in. And I would say that if something like that, with such a dramatic improvement in terms of precious metal recoveries, if I was operating at the - that's going to have an impact in terms of how I'd schedule that mine going forward too. So, there has been a whole series of optimizations at Penasquito and I think some of that has affected in terms of our schedule the next while. There is still some pretty nice rock in that pit. So we look forward to that.
Josh Wolfson: So on – I guess, maybe in your five year forecast, have you assumed the incorporation of the Pyrite project?
Randy Smallwood: No, we haven't because Goldcorp hasn't made the decision. We basically match Goldcorp's guidance in terms of our expectations over the next five years. And so, that has not been approved by the investment committee at Goldcorp yet. I think they expect to make that decision sometime middle of this year.
Josh Wolfson: Okay. So I think, previously we see MEP, you guys were thinking about 1 to 1.25 million ounces attributable to you, with just the Pyrite, what would that number look like?
Randy Smallwood: It's not too far off of that. It's in that range, and so to our credit.
Josh Wolfson: Okay. So, I guess, absent the Pyrite project in the five year forecast, what do you see the average annual output being for Penasquito?
Randy Smallwood: It's in around the 8 million ounce per year credit production. Keep in mind that when Goldcorp reports, they report payable metal, whereas we report production. And so, it's about 8 million ounces a year.
Josh Wolfson: Okay. So, that's 8 million in concentrate or payable?
Randy Smallwood: In concentrate.
Josh Wolfson: Concentrate. Okay.
Randy Smallwood: Yes.
Josh Wolfson: And then I guess, further on that five year forecast, a couple of questions. For Constancia, for Pampacancha, is that in your forecast now or has that been pushed out I guess, beyond 2020?
Randy Smallwood: Yes, it's been pushed out later. They are still working out the schedule in terms of that. It has been pushed out, delayed a bit. Hudbay is assessing and going through and optimizing that schedule again too. Given the copper markets and what they've got in front of them, they are re-optimizing that whole thing. So it has been pushed out, and I don't think a final date has been assigned to it, and I would expect it will continue to be updated as they move forward.
Josh Wolfson: Okay. And then similarly I guess, for Yauliyacu, the reserves only go to I guess, or they would be exhausted before 2020, are you guys assuming that that mine life is extended beyond that?
Randy Smallwood: Yes, we just modified that agreement to a life of mine agreement. I can't tell you how happy I am to do that. That mine has been operating for well over 200 years. It's got an incredible operating history. It just continues to push down. And so what we've seen is 200 years of very successful resource conversion. And so, having modified that agreement to a life of mine agreement, in my eyes, is a big win for us because it was suppose to - the contract itself was supposed to expire in 2025, and which isn't too far away from here. And so, now that we've converted that over to a life of mine agreement, we do fully expect – I mean, they've always been converted their resources over at a very successful rate.
Josh Wolfson: Okay. And then on the grade profile there, just because the reserve grade, I think, has been, on the silver side at least, a lot higher than what you guys or what the company has been processing, what do you expect the steady state grade there to be?
Randy Smallwood: Well, one of the challenges is that Yauliyacu does have multiple types of ore, zinc rich ore, which tends to have lower silver grades, and then lead rich ore, which tends to have higher silver grades. And one of the reasons we made some of the modifications to that agreement was to try and incentivize them to process more of that silver rich ore going forward. And so that's one of the reasons they have focused, you know, the zinc rich ore does tend to be wider, thicker ore bodies tends to be 4 to 5 meters thick, whereas the vetas [ph] which is the lead-rich stuff tends to be 1 to 2 meters thick. And so there's increased or improved economics on that zinc-rich ore. And that's one of the reasons that there tends to be a bit of a higher grade in the reserve base going forward. They tend to focus more on the silver grade. So, sorry, I don't have the production grades for Yauliyacu in front of me here right now. But in terms of their forecast, but that's the bias, and that's one of the reasons that we went through some of the modifications in that agreement, was converting it over to life of mine was important to us. And then some of the incentives for them to try and chase some of the more lead and therefore silver rich ore.
Josh Wolfson: Okay. And then lastly, at Sudbury, what are your sort of five year projections for this asset?
Randy Smallwood: Sorry, I don't have those numbers in front of me here right now. Gary?
Josh Wolfson: Okay.
Gary Brown: Should be roughly 45,000 to 50,000 a year in that range.
Josh Wolfson: Okay. So, you do expect it to go up, and that's a function, I'm assuming, of the grade increasing offsetting the decline in recoveries or is their throughput also changing there?
Randy Smallwood: Yes, I mean, we've had some improvements there, some of the assets coming on-stream that were through construction. And so it's definitely been a gradual improvement. We are seeing - of course, Sudbury is where we do see continual – what you say, it produces more gold than what they forecast. It's got a long history of doing that. And so we've continued to see that on a pretty consistent basis all the way through. And so, we're pretty happy with that. We did take a write-down there, but it was more related - we got some warrants that we used as part of that transaction, and it's mainly the value of those warrants.
Josh Wolfson: Okay. And then, sorry, just last on that transition I guess, for Sudbury, which is 10,000 ounces lower than that range over the next five years, when - at what point or how long will it take to ramp up to that higher output at Sudbury?
Randy Smallwood: Well, it's a pretty gradual process. It's as they ramp up. I mean, one of the challenges at Sudbury, of course, it's a deep underground mine, and so it does take a continual effort to try and open up working phases. That's really what it comes down to is working phases, how many different stopes can you be pulling out at the same time. And so, it is a pretty gradual process.
Josh Wolfson: Okay. So, then, is it fair to assume that if the output this year is in the mid-30s range, and the average is going to be 45 to 50, that you'll be well beyond that range towards the end of the five year guidance?
Randy Smallwood: Sorry, we're climbing up to that 45 to 50 level. So…
Josh Wolfson: Okay.
Randy Smallwood: Perhaps misspoke on the average.
Josh Wolfson: Okay. All right. That's it from me. Thanks a lot, guys.
Randy Smallwood: Keep in mind, when we give guidance, we match the partner's guidance. And so the other point I would highlight with Sudbury is that we do tend to see more gold production out there - in fact, we've always seen more gold than what's been forecast. Thanks, Josh.
Operator: Your next question comes from the line of Michael Gray from Macquarie. Your line is open.
Michael Gray: Good morning, Randy, Gary, Haytham, Patrick. Josh has asked most of the questions on the five year guidance. But would it be fair to assume for greater certainty, that you haven't forecast any expansion beyond 3,000 tonnes per day for San Dimas and also you haven't forecast phase 3 for Salobo yet in your guidance?
Randy Smallwood: Yes, that's correct. Phase 3 at Salobo is still in the conceptual mode or the discussion mode within Vale. I'm impressed that, given the rest of the world and the situation and stuff like that, that Vale is still focused on that. It underscores how important Salobo is to Vale. And so it's still in the discussion mode. They haven't made any decisions with that, and without a decision, we wouldn't factor that in. And then at San Dimas, the ramp-up to 3,000 tonnes per day, we've taken their forecast going forward, which is based on that ramp-up. And they have an excellent track record of exceeding those throughput levels. And so, when you sit and look at the last year, with a name plate capacity at 2,500 tonnes, they've spent most of the year well above that number. So, fully expect that there's still some potential upside in that, and that hasn't been factored into our forecast.
Michael Gray: Okay. Thanks. The other question on guidance is, do you expect it to be up and down significant swings over the next five years and average the 52 or is it a little bit flatter?
Randy Smallwood: Well, I think, I mean, we do have some term contracts, some smaller assets that have term contracts that are expiring over the next while - the Cozamin from Capstone, and then we have some other assets that are getting close to the end of their life. And so, they are small assets, and so I do think those will step off, but they should be offset by growth. But, you know, I would also toss in that I don't put a lot of weight into that number because I do expect us to be making additional acquisitions over the next couple years. This is still a very ripe market for us. So I can guarantee it will be above those numbers; just leave it at that.
Michael Gray: Fair enough. And last question, just on Primero San Dimas, the Mexican tax authority challenge on the APA status. Can you give us any perspective from your end and what kind of dialogue you may be having with Primero?
Randy Smallwood: Well, I mean, I'd just reiterate, first off, Primero is doing a fantastic job of reinvesting into that asset and they are seeing the benefits of it. The mine has been running - the Spaniards, when they originally came over and settled in Mexico, they started mining there. So it's got a very long history, an incredibly long history of operations and the APA is only in place for the last four years. And so, the mine has been successful without it in the past, and the mine it's a fantastic asset, and with the amount of investment that Primero has put into it and the operating team that they have in place, we're comfortable with the asset as a whole. That's really all I can say. I mean, the rest of it is Primero dealing with the APA issue.
Michael Gray: Okay. Thanks, guys.
Randy Smallwood: Thank you, Michael.
Operator: Your next question comes from the line of Charles Gibson from Edison. Your line is open.
Charles Gibson: Thank you. Good morning, chaps. Congratulations, well done.
Randy Smallwood: Thank you, Charles.
Charles Gibson: I wonder if I could ask three questions, Randy, you touched on Yauliyacu and your renegotiation or your moderation, modification of the contract. I just wonder if I could ask you to talk a little bit around the thinking behind that? It looks like what you've done is you've exchanged a little bit of near term return for longer term return. Obviously, net-net, you think you'll be better off as a result of that. But I wonder if I could ask you just to talk a little bit around your thinking because you have other contracts which have certain expiry dates. And I suppose what I am getting at ultimately is, might we expect to see similar modifications in other of your contracts or do you think this is just a one-off?
Randy Smallwood: Well, I hope so, because I don't like term contracts. One of the ways that we deliver value to our shareholders is that long-term potential, that expiration upside. And so Yauliyacu is a bit of a unique asset within our portfolio because it does have the silver - there is zoning within the deposit, there is zinc rich areas, as I explained, there is zinc rich areas and lead rich areas. And so, we felt that there is some material down there that may be more attractive for Yauliyacu or for Glencore to move forward and bring into the process stream. They've reported it as a reserve. It's definitely pretty strong. And so, with changes like this, the other concern we had of course, is, with an operating history like Yauliyacu has, we were hoping to convert it into a life of mine agreement. And so, with it expiring in just over 8 years, we felt it was important to try and wrap that into a life-of-mine agreement and go forward. And so, we had the opportunity here to make this change and essentially pay for it by just modifying the production payments, which means we're not paying for it now. And so to gain and deliver that kind of, in the end value back to our shareholders in terms of making it a life of mine agreement by making some adjustments to the production payments going forward and put some sharing mechanisms in place. It just became, in my eyes, a win-win situation. And it worked well for Glencore at Yauli, and it also works very well for us. And I know what - as I said, this mine's got well over 200 years of continuous mining history and they just continue to work their way down the structures, and continue to - excellent track record of resource conversion, excellent track record of exploration into resources and then resources into reserves and ultimately through the mine. And so, it's an agreement that we felt made a lot of sense. As I said, win-win on both sides. I'm hopeful that we can do similar things with some of the other term contracts. As I mentioned at the start, we're not big fans of the term contracts. We'll enter into them when we have to. But, yes, it's definitely one of the areas that we try and deliver and so we try and avoid term contracts as much as we can.
Charles Gibson: I suppose the other possibility is rather than changing or modifying your production payments, you could have paid for it with capital up front. Was that considered or was that seen as not attractive by one side or the other, or maybe both sides?
Randy Smallwood: Yes, I mean, it was considered, but we didn't put a lot of thought into it, mainly because there was an appetite on their side. Some of the sharing mechanisms, some of the changes that we made in this does provide a bit more of an incentive for the operators to chase the silver rich zones. And so, we thought there was a benefit on that in terms of the restructuring. So that combination we could have used capital to do this, and but at the same time we felt that, in fact, when you do the math, it's easy to see that it made more sense for us to push that out. And with the opportunity set that we see in terms of new acquisitions, we felt the capital was better kept for new opportunities, new acquisitions, and modifying this one had a win-win benefit, again.
Charles Gibson: All right. Thank you very much. I wonder if I could just ask one final question to Gary, please, if I may? Gary, I couldn't help noticing that you're discharging your deposits of the CRA or in relation to the CRA issue now in the form of a letter of guarantee; whereas there was a time when it was possible it might have to be a cash payment. I just wanted to check there weren't going to be any accounting curiosities around that, and the letter is just a letter, but this isn't going to show up in your accounts at all or if it is going to show up, how it might show up?
Gary Brown: Yes, it will not appear on our balance sheet, and it will just be a note disclosure in our financial statements.
Charles Gibson: Excellent. Good news, just wanted to check, lovely. Thank you very much indeed and well done again, guys. Thank you.
Gary Brown: Thank you.
Randy Smallwood: Thank you, Charles.
Operator: Your next question comes from the line of Shane Nagle from National Bank Financial. Your line is open.
Shane Nagle: Thanks, operator. Most of my questions have been answered, guys. Just one real quick one, probably better to actually even ask some of your counterparties. But it's just on the security of your debt and how that works and maybe if we just kind of use the Hudbay example, as an example here. If you come in on the corporate facility and yourselves, that's I'm assuming, pari passu on the Constancia level? And then I'm just wondering if your level of security is decreased as ounces are delivered to you from the stream or if your level of security on that asset remains in line with your initial investment relative to the senior secured there?
Gary Brown: Yes, I mean, our security varies by contract. But if you're talking specifically Constancia, my recollection is that we've got security at the asset level on Constancia and that is a senior security interest, on top of having corporate guarantees.
Shane Nagle: And is that level of security that remains, even if you…
Gary Brown: Yes, there is no…
Shane Nagle: If they've drawn down their deferred revenue, it doesn't decrease, right?
Gary Brown: It doesn't diminish over time. Our claim would be for the value of our stream at any given point in time.
Shane Nagle: Okay. And then, the Primero question here has been answered, but we went through this back in 2012. If they came to you, and this adversely impacted obviously their financial situation or their ability to put money back into San Dimas. I mean, are you willing to make concessions there or work with them on other streams? I mean, how –what are you willing to kind of make a concession on in order to maintain your production from that asset?
Randy Smallwood: Yes, Shane, it's Randy. These are partnerships, right, and so we're always willing to discuss the agreements with our partners and see if there's ways to improve situations and stuff like that. So always open to have that discussion. Again, APA or not, San Dimas has proven be a very profitable asset. It's done very well, both for Primero and for the previous owners of that asset, going forward. And as I alluded to earlier on, it's got a very, very long operating history and the APA's only been there for 4 years. So it's quite obvious that that asset is still a good, strong asset going forward. These are partnerships. We're always willing to talk to our partners. We always - in fact, we always maintain good, strong relationships with our partners in going forward. So we'll provide as much support as we can to them, in terms of what they need on our side. Obviously, I work and we as a team all work for our shareholders. And so, what I have to do is make sure that we focus on what's best for our shareholders.
Shane Nagle: That's great. Thanks, guys.
Randy Smallwood: Thank you, Shane. And thank you, everyone. 2015 was a pivotal year for Silver Wheaton and we're very excited about 2016. As I mentioned earlier, Silver Wheaton has never been in a better position in terms of production and sales volumes. The investments we have made over the past few years are now starting to pay off, and we look forward to another year of records. Thank you for dialing in, everyone.
Operator: This concludes this conference call for today. Thank you for participating. Please disconnect your lines.